Sarah Willett: Thank you all for joining us today. I am here with Damian Gammell, our CEO; and our CFO, Ed Walker. Before I hand over to Damian, a reminder of our cautionary statements. This call will contain forward-looking comments, management comments and other statements reflecting our outlook. These comments should be considered in conjunction with the cautionary language contained in today’s release as well as the detailed cautionary statements found in reports filed with the U.K., U.S., Dutch and Spanish authorities. A copy of this information is available on our website at www.cocacolaep.com. Prepared remarks will be made by Damian. We will then turn the call over to your questions. Unless otherwise stated, metrics presented today will be on a comparable and FX-neutral basis throughout. They will also be presented on an adjusted comparable basis, thus reflecting the results of CCEP and our Australia Pacific and Southeast Asia business unit, APS, as if the Coca-Cola Philippines transaction had occurred at the beginning of last year rather than in February when the acquisition completed. Volume movements also adjust for the impact of 2 less selling days in this quarter when compared to the same period last year. Following the call, a full transcript will be made available as soon as possible on our website. I will now turn the call over to our CEO, Damian.
Damian Gammell: Thank you, Sarah and many thanks to everyone joining us today. I’m pleased with how the year started, reflecting our great brands and great in-market execution, as always, all delivered by our great people. So I’d like to start by thanking them for their energy, hard work and continued dedication to our customers and to our business, and as always, underpinned by our strong aligned relationships with the Coca-Cola Company and our other brand partners. Performance during the first quarter has been broadly as expected in what is traditionally our smallest quarter of the year. We’ve continued to grow share ahead of the market, create value for our customers and delivered solid gains in revenue per unit case, up just over 3% through our ongoing revenue and margin growth management activities. While reported volumes were down 3.8%, this reflects calendar-related phasing driven by a later Easter and 2 less selling days versus last year. Adjusting for this calendar impact, comparable volumes were marginally down with a decline of 0.6%, reflecting last year’s strategic exit from our Capri Sun business, which is now – from now on has annualized. So, underlying volumes were broadly flat. Given the timing of Easter, we’ve seen a stronger April. And as I look to the rest of the year, we have solid commercial programs in place supported by a great pipeline of innovation, fantastic activation plans, including more cooler investments across our Coke trademark and Monster. Importantly, our full year ‘25 pricing is substantially in place. And with softer comparables over the summer given the adverse weather in Europe last year, I remain confident that we are well placed for 2025 and beyond. This, across our geographically diverse footprint in our core NARTD category, which remains resilient and continues to grow across our markets. So looking a little more closely at Q1, starting with Europe where the impact of the Easter phasing was most prominent. Comparable volumes overall were down by 2.1% with some growth in away-from-home supported by softer comparables. In the Home Channel, where we traditionally see more Easter-related spending, volumes were down 3.6%. This was most notable in Germany and France, which at short notice also saw the sugar tax increase from the start of March. Outperforming was GB, where we’ve seen fantastic in-market execution around several new launches. Highlights were Coca-Cola Zero, Monster Rio Punch supporting double-digit energy growth and the new limited edition Dr. Pepper Cherry Crush, which was very well received by consumers. And we’ve seen an improved trajectory for Diet Coke following the launch of the This is my Taste campaign. In Flavors, we’ve introduced a range of new Fanta variants, including apple, raspberry and Tutti Frutti, supported by the colorful rainbow Wanta Fanta campaign. And in ARTD, we started to roll out of Bacardi & Coke, Absolut & Sprite and Watermelon & Jack Daniel’s and Cherry Coke. In addition to innovating through collaborations and flavor extensions, we continued to support our great brands with the return of an old favorite, the search for named cans, which will soon begin in earnest as the iconic Share a Coke campaign rolls out across our markets. In Iberia, we’ve seen good growth in both energy and sports categories, mitigating the Easter effect and the impact of some weather in March. The transition from Nestea to Fuze is ahead of expectations, driven by a strong performance in grocery where we secured listings with Aldi, Lidl and Mercadona. And revenue per unit case for Europe was up just over 4%, supported by headline price increases and the continued growth of our energy and sports brands. Turning now to APS, where volumes were up 2.1%. In the Australia Pacific regions, volumes saw a slight decline driven by Easter timing and Cyclone Alfred, which impacted our business on the East Coast of Australia in March. This was largely offset by the Pacific Islands and PNG, where we continued to see strong volume growth. Positive mix driven by the growth of mini cans, new Monster multipacks and the launch of Monster Ultra Ruby Red all contributed to an increase in revenue per case alongside the recent headline pricing increase in Australia. Growing volumes in Southeast Asia were driven by the modern trade channel in the Philippines, which continues to see good growth, particularly in Coca-Cola Original Taste and water despite cycling strong overall comparables across the first half of last year. This was partly offset by a weaker performance in Indonesia, reflecting wider macroeconomic softness and the ongoing geopolitical situation, which we are now beginning to cycle. Revenue per unit case for APS grew by 2.1% with headline price increases in Australia and the Philippines offset by geographic mix. So in summary, given Q1 calendar impacts for the year-to-date, including April, we’re broadly where we expect it to be. In that context and the confidence I have in our plans for the rest of the year, I’m pleased to be reaffirming our guidance for the full year, which reflects our current assessment of the market conditions. While the global macroeconomic environment is volatile, we remain resilient with leading market positions and locally driven operations across our 31 markets. Almost all of our drinks we sell are sourced regionally and produced locally. Our commodity input costs are over 90% hedged for the year with our cost per unit case expectations unchanged at around 2% compared to last year. We expect 4% revenue growth, more balanced between healthy underlying volume and revenue per case growth, implying that we do expect volume growth in the year to go. And we expect 7% operating profit growth and comparable free cash flow of at least EUR 1.7 billion. Although our guidance is provided on an adjusted comparable and FX-neutral basis, we are seeing some FX adversity. But given we are early in the year, we will update on this as the year progresses. Today’s dividend declaration and our ongoing €1 billion share buyback program collectively demonstrate the strength of our business and our ability to deliver continued shareholder value. So on that note, we look forward to sharing more with you on our future plans taking place in Manila in 2 weeks’ time. Thank you for your time today. And Ed and I would now be very happy to take any questions. Over to you, operator.
Operator: Thank you. [Operator Instructions] We’ll now take our first question, which is from the line of Bonnie Herzog from Goldman Sachs. Please go ahead.
Bonnie Herzog: Hi, everyone. How are you? I have a question on volumes. Damian, you just sort of touched on this, but as I think about Q1 you fully lapped some of the strategic delistings in Europe. So with that behind us, could you touch on sort of your volume growth expectations for the rest of the year in terms of phasing? Should we assume volumes will inflect positively in Q2? And then maybe as you look at your portfolio in the region, are you happy with where things stand currently or do you see opportunities for further potential trimming? Thank you.
Damian Gammell: Hi, Bonnie. Thank you. Yes. So clearly, when you look at our full year guidance, as I said, that implies volume growth for the rest of the year. So Q1 with all of the impacts that I talked about, clearly that wasn’t the case. But as we look to our full year guidance and the 4% that is based on volume growth, particularly in Europe going forward. So I feel pretty good about that. We feel pretty good about April, which we kind of called out to try and give some more color around the impact of Easter. And as we look through May, certainly, we see Share a Coke hitting all of our markets and that gives us confidence on volume going forward. Also we’ve got some softer comparables, which we believe will help going forward. But fundamentally, it’s really on the back of some great commercial plans, both with the Coke Company and Monster in particular, strong share of Coke campaign, strong summer activation. And also that goes for our markets in the Philippines, Australia and New Zealand, where we also see volume growth coming through as well. So yes, ongoing, I mean, to get to our 4%, we really believe that volume is a key part of that. We’ve done a good job securing pricing. Our revenue per case, I think, is fantastic, particularly in Europe. So that does leave that volume number being the key to our growth year to go and that’s really what we are focused on. And yes, we feel pretty good about that today.
Bonnie Herzog: Okay. Thank you. And just in terms of your overall portfolio, Damian, I mean, maybe not even just in Europe, just thinking about the broader portfolio in all of your markets, are you pretty happy right now with where things stand or should that maybe...
Damian Gammell: No, I think we’ve gone through those strategic decisions. We’re cycling out of most of them now, so it will be a much cleaner read for all of you. So that will be easier. And indeed, we’ll be adding more now and what we’re adding, I think, is really value accretive, particularly in ARTD. We’re seeing that perform better than we expected and we’re building out a very nice portfolio. We’ve just acquired a business in Australia, Bilson’s, which gives us another platform in what is a really big ARTD category. So we’re probably moving to a phase now where you’ll see more additions to our portfolio, Bonnie. Most of the decisions we made on bulk water, juice, Capri Sun are behind us. Clearly, the big one was Nestea and Fuze. That’s gone better than we expected. And then the one to come is really the Suntory change that we’ll see middle of the year in Australia. And then we’re through. So I think it will be a much cleaner read going forward.
Bonnie Herzog: Alright. Thanks. I will pass it on.
Operator: Thank you. We’ll now take our next question. This is from Nadine Sarwat from Bernstein. Please go ahead.
Nadine Sarwat: Thank you for taking my questions. Two for me. One, pretty straightforward on the full year reiteration of guidance, could you break down what you’re assuming in terms of end consumer demand, or more broadly, health of consumer spending? Is it a status quo versus today improvement baking in some weakening? Any color there would be appreciated. And then on the Philippines, which I know you touched on in your prepared remarks and I’m sure you will touch on even more in 2 weeks’ time. But with some time now since the acquisition, Damian, could you comment on some things that you’ve learned about the business since the acquisition that have perhaps surprised you to the upside versus your expectations? And then what are some areas where you believe there are opportunities for improvement? Thank you.
Ed Walker: Hi, Nadine. It’s Ed here. Maybe I’ll take the first part of the question and I think Damian will talk about the Philippines. So from the consumer perspective, we’re really assuming no change versus what we’re seeing today out in our markets and also really what we assumed for the year as a whole when we gave guidance, which is one of the reasons why we are reaffirming guidance today. Clearly, it’s volatile and so we monitor the situation very carefully in all of the markets, including looking at pricing and making sure that we have the right price points, the right affordable offerings for our consumers and our customers. But today, we see no major change in the overall consumer environment.
Damian Gammell: Thanks, Ed. Nadine, I don’t want to steal the thunder from our capital markets event in Manila, where we will obviously talk a lot more detail about the Philippines. But broadly speaking, a lot more on the positive side since we acquired that business, both in terms of underlying performance, but then opportunity for margin expansion. I think what surprised us also is the diversity of our business there regionally. We’ve added a few more brands to our portfolio, particularly in energy, ARTD, so that’s great. But overall, when you just look at the relevant share of our business there, the macroeconomic environment is positive. The consumer demographics are positive. So, a lot more on the upside. And then clearly, we’ll talk a bit more next week in a bit more detail around the Philippines specifically. But broadly speaking, I think it’s been a great addition to the CCEP family, lots of long-term opportunity, both in terms of growth and most importantly, in terms of margin.
Nadine Sarwat: Alright. Perfect. Looking forward to it. Thank you.
Operator: Thank you. We’ll now take our next question. This is from Matthew Ford from BNP Paribas. Please go ahead.
Matthew Ford: Afternoon, Damian and Ed. My question was just on Indonesia. Clearly, we’re now cycling the initial boycotting and now I suppose it’s more of a weakening macro backdrop that’s driving the softer trends there. But I suppose any comments you can make on how the last quarter went, how Ramadan went. Clearly, you called out a fairly soft Ramadan. But if you can get into some of the detail there, what was driving that in particular? And I suppose the same question as last year maybe do you see any light at the end of the tunnel and any signs of improvement there?
Damian Gammell: Yes. Thanks, Matthew. I mean I think it’s been a challenging couple of years. I would say, as we’ve come into this year, it’s stabilized somewhat. So I would say when Ed and I look at our business and some of the more internal processes around forecasting, we see it being much more predictable. So I think that’s good news. We clearly see light at the end of the tunnel. I mean, the macros despite the current headwinds don’t really change in terms of fit for our great portfolio in terms of population, age, the economic outlook, although it’s a bit under pressure at the moment. So we’ve seen our business stabilize. Ramadan was a bit mixed. I would say it was better than we expected, particularly in the Home Channel. So as you recall, last year, we talked about moving from a 1.5 liter to a 1 liter. That’s working. So we’ve seen transactions growing. Probably where we’ve seen more weakness was really out of Home. So our smaller packs or 390 was probably weaker than we would have liked. So, a bit of a mixed bag. But overall, it’s getting, I would say, more consistent. As we will talk about as well, Xavi, our GM will be with us in Manila. It is giving us the opportunity to accelerate some of our transformation on the cost side of the business, which we’ll talk a bit more to; changing our route to market, which is encouraging; and then ultimately, working with the Coca-Cola Company, in particular, on how we pivot our comms around our brands as we go forward. So I would say, overall, more stable. Ramadan was a bit mixed, positive in home market, a bit weaker in away-from-home. Long-term outlook is still super exciting. And when we look at our business there, sparkling soft drinks is probably more relevant than people appreciate, particularly if you look at water in Indonesia, which is really a necessity because of the domestic water. And when you look at NARTD, actually sparkling is very, very relevant and we want to keep that going. So, lots to be optimistic about, but clearly a challenging couple of years, but stabilizing as we move into the second quarter this year.
Matthew Ford: Great. Thanks Dave.
Operator: Thank you. We will now take our next question. This is from Eric Serotta from Morgan Stanley. Please go ahead.
Eric Serotta: Great. Thanks guys. Can you talk a little bit about away from home trends? You had some positive away from home volumes, which small victory in this – or no small victory in the current environment. So, I guess what drove the away from home growth? And what are you seeing, particularly in away from home in Europe, given the macro headlines that we see?
Damian Gammell: Yes. Thanks Eric. I mean it is encouraging. I think we talked last year about us not being passive in the face of some of those away from home headwinds. So, we called out on our full year results call that we were investing more in coolers. We are actually ahead of our plan year-to-date in cooler placements. And we have pivoted our consumer marketing with the Coke Company, particularly to more away from home. Share a Coke really resonates well on our ICE consumption business. So, that’s helping. And we have won some new business across our markets in Europe in 2024. So, we started to see the benefit of that in ‘25. And then clearly, particularly in GB, we had a very dry March. So, I think more people are out and about. So, that was always good for our business. And I think it’s a combination of those factors. And as Ed talked to probably maybe not a massive improvement in consumer sentiment, but somewhat of stable, and I think with that, people are probably a bit more confident. So, we are also hearing a lot more noise about returning to office in some of our cities, and clearly, that will have an impact. That’s been a bit of a drag. Yes, so overall, it’s nice to see. It’s our smallest quarter. So, we have got to make sure that momentum continues into Q2 and into Q3. But it’s – yes, it’s a nice change of direction after a number of quarters where we were, where we would like to be in away from home. So, yes, pretty positive and great for our teams in particular because we have put a lot of effort and a lot of focus into winning new business and investing in that part of our business. So, that’s always good to get some return.
Eric Serotta: Great. Thanks. I will pass it on.
Operator: Thank you. We will now take our next question. This is from Edward Mundy from Jefferies. Please go ahead.
Edward Mundy: Good afternoon guys. So, I think you sort of touched on some of the initiatives in your opening remarks, Damian, around getting volume growth back in Europe. And outside of easy comps and hopefully getting a summer in Europe this year, could you talk about some of the – two or three things that your teams are really focused on to really drive that volume growth within Europe. And I guess as part of that same question, just to confirm, your European ARP is still very strong. Are you seeing anything in the consumer environment as we speak that’s leading you to drive that affordability lever yet?
Damian Gammell: Thanks Ed. So, I think we have been on a journey around volume growth for quite a while. So, I think a number of elements are playing out beyond some of those comps and some of those macros. So, you will see transactions growing ahead of volume. So, clearly one element is we are driving more volume and household penetration and that’s on the back of some of the changes we made in some of our pack pricing architecture, very much focused on below a €2 or £2 price point. We see that working. We continue to partner well with our retailers in terms of getting more listings, displays, execution and growing some of these. So, a lot of the fundamentals of our business in terms of what we know supports longer term volume growth, and that will continue. And clearly, on the back of a stronger away from home, that also will come through more in transactions and volume, but it will support our volume growth. Good pipeline of innovation across our Coke portfolio, flavors and Monster, in particular. That will play to volume growth year to go and into ‘26. And then obviously, small in volume, but good in revenue, the moves we are making on ARTD. When you look at – it’s all single serve, it’s well priced, good cash margin. I think that will also support that top line. So, yes, no silver bullet, but a combination of a lot of the fundamentals of our business, and that’s what we will keep focused on. And then clearly, we have invested over the last number of years in our supply chain and in our tech platform and clearly that’s allowing us to be more productive and efficient, and which indirectly helps drive volume. So, our case fill rate, our customer service levels are at all-times high. So, we are not missing any cases. And for a bottler, that’s critically important. So, yes, so volume will be part of our growth story rest of this year, into ‘26. And we will touch more on that when we are together in Manila.
Edward Mundy: Thank you. And you are not seeing anything so far in the consumer environment, which is sort of pivoting more towards the affordability lever at this stage?
Damian Gammell: No, not more than we have seen, Ed, I think that was definitely a bigger dynamic in ‘23, ‘24. And we pivoted some of our promo investments, and as I have said, the smaller packs, smaller price points, but also value. So, we have got some extra fill. But it hasn’t got any more challenging than it was last year. I still think there is an affordability play that we are addressing, but it’s certainly not increasing at the moment.
Edward Mundy: Thank you.
Operator: Thank you. We will now take our next question. This is from Mitch Collett from Deutsche Bank. Please go ahead.
Mitch Collett: Hi Damian. Hi Ed. Hi Sarah. And I have noticed a very divergent performance within Europe, and so I wondered if you could give a bit of additional context on the strength in GB versus what you are seeing in the other European geographies. I know you mentioned weather a minute ago, but what’s driving the difference between your European geographies? Thanks.
Damian Gammell: Yes. I mean I think the call-out, Mitch, is definitely GB is leading the pack, which is great. And we talked to a number of the initiatives, whether it’s our Dr. Pepper business, Monster, Coke Zero. We have pivoted last year with the company to reinvest in Diet Coke. We are seeing that early days, but that’s paying out. And if you look at – while there is a difference, obviously Easter is bigger in some of our markets like Germany. So, it’s a bigger holiday event, it’s a bigger consumer event, so – but that kind of played out in April. So, year-to-date April numbers, you don’t see as big a diversion in Europe. I would say the outlier is France. Early days, but clearly, we had that tax increase in March. So, we have seen our away from home business less affected, but obviously, shelf pricing has gone up in France. So, that’s probably the one outlier and that’s really on the back of that tax in the home market. Spain is a little bit behind the rest. But again, there is nothing structural there. The Fuze Tea to Nestea transition is better than expected. And yes, as I called out in my comments, it was just a bit wetter in Spain than we would have liked for the first quarter. But again, it’s not a massive divergence from the overall European performance. I suppose I would call out the positive, which is really GB and we are really happy with that, and it’s great for our team. Put a lot of work in last year and we are starting to see the benefits of that in ‘25.
Mitch Collett: Helpful. Thank you.
Damian Gammell: But there is no major customer issue. There is nothing in our supply – there is nothing that’s that different across our European markets, Mitch, to be honest. And pricing is pretty much in everywhere, so yes.
Mitch Collett: Thank you.
Operator: Thank you. We will now take our next question. This is from Charlie Higgs from Redburn Atlantic.
Unidentified Analyst: Yes. Hi Damian. It’s [indiscernible]. I have got a question on energy drinks, where volumes up nearly 12% given the selling days and given you are lapping 7.5% last year with the launch of Monte Green Zero, very strong. I was wondering if you could give a bit more color on where the strength was, particularly in Europe. And then also how the launch of the more affordable brand, Predator was doing in the Philippines and Indonesia. Thanks.
Damian Gammell: Yes. So, maybe I will take the second part. I mean I think it’s early days in Philippines, Indonesia. We are really pleased to be in that category in those two markets. We think long-term or mid-term, it’s going to be a big play for us. So, we will give a bit more color. I think our pricing on Predator, we took some adjustment coming out of last year in the Philippines. So, we have made some changes and we will see the benefit of that this year. So, overall, great to be in those categories in those markets. I think in Europe, the energy category continues to be very buoyant. It’s very competitive. And I think that’s driving a lot of the growth. Both ourselves and a number of the other brands are investing in the category, and you can see that. And I think that, coupled with the innovation pipeline, is just really making it a very attractive category for consumers. So, we expect that to continue. I think last year, people talked to a little bit of a slowdown midyear. Certainly, that’s kind of turned around and we would expect that to continue for the rest of this year and into ‘26. And I think there is a great pipeline of innovation in that category that we can bring to market. And yes, we will review whether our new pricing on Predator in the Philippines has landed where we would like it to, but early days on that, but probably get a bit more color on that when we are down there in a couple of weeks.
Unidentified Analyst: Thank you.
Operator: Thank you. We will now take the next question. This is from Sanjeet Aujla from UBS. Please go ahead.
Sanjeet Aujla: Hi Damian, Ed. Just coming back to Europe price/mix, the 4.1% can you help us unpack that between what’s rate versus brand and category mix within that component? And then on France, you called out the sugar tax implemented in March. What sort of pricing is going through to offset that? And have you seen any impact from boycotts in France in recent weeks? Thanks.
Ed Walker: So Sanjit, yes, in terms of the 4% for Europe, so we expect volume growth, as we said earlier, to be present certainly for this year. We haven’t guided exactly to the breakdown of volume, price/mix, but we think volume should be around 1% and then the majority of the rest of the revenue per case growth coming from price. There will be some mix benefit coming from things like energy, as Damian just referenced, but certainly price itself will be the biggest element. Of course, in H1, we still benefited from some of the pricing that we took in H2 last year, notably in GB and Germany. So, we have got the benefits of that in H1. So, we will probably see the revenue per case a little bit lower in the second half than the first half. So, that’s how we see the breakdown of the revenue per case and the revenue across Europe.
Damian Gammell: Yes. And just on France, the tax, basically, it’s been passed on. So, the shelf prices generally have moved. Obviously, that’s up to the retailers. But what we have seen is that pricing has moved to reflect the tax. That’s about a 10% to 12% increase on the packs that are affected. So, clearly, that’s something that we will manage throughout the rest of the year. Affects mainly retail, we haven’t seen that much price movement in away from home. And clearly, that’s been the biggest disruption in our French business compared to boycotts or anything else in the first quarter. Came in at quite short notice, so it’s already in market, and clearly, as we go forward, we are working with our teams on looking at some of our OBPC options around packaging and sizes to offset it. Clearly, it doesn’t affect our Zero portfolio. And yes, so that’s probably been – probably the biggest disruptive factor in France compared to boycotts or anything else in the first quarter.
Sanjeet Aujla: Thank you.
Operator: Thank you. We have one more question. This is from Lauren Lieberman from Barclays. Please go ahead.
Lauren Lieberman: Great. Thanks. Good morning. And I apologize if you already touched on it, but I was just curious if you could speak a little bit about progress on cooler placements. I know that was a big focus for this year. I know earlier in your answer to Ed, you were starting to talk about volume drivers. This may have come up before I was able to jump on. But cooler placements and then also summer plans. So, I think that was another area that heading into the year you talked about expectations for you to be able to put up a better summer this year, notwithstanding what weather might do to you. But just curious to hear a little bit more about that. Thanks.
Damian Gammell: Yes. Hi. Thanks Lauren. Yes. So, I mean we have called out that coming out of last year to have a very focused plan, particularly in away from home. So, while there were some headwinds in that area, we felt it was appropriate to take leadership as the category leader to drive volume and transactions. A big part of that, as you called out, Lauren, was cooler placements, so we set out ‘25 to be a record year for us in terms of cooler placements across all of our markets, but particularly in Europe and particularly in away from home. Year-to-date, we are ahead of our plans. So, we are very happy with that. And on top of that, we have, as I have mentioned earlier, pivoted a lot of our consumer investment into that environment. I think Share a Coke will be in retail, but clearly, on all of our single-serve packaging it gives a great consumer connection in away from home. So, that’s going through. And that will really continue through this summer, so both with our Coca-Cola brands and with Monster, a big emphasis on our single-serve business as we go through this summer. And obviously, cooler placements just provides that extra piece of real estate and impact in store to get the off-take. So, that’s what we are focused on. And we have seen the benefits in Q1, small quarter. So, I think Q2 will be even more significant. But I think it was the right decision to pivot our investment and to support our customers who have had a challenging time in away from home. And then on top of that, we have been very active in winning new business. And with that business comes more cooler placements and more outlets. So, I think we feel pretty good about that supporting what Ed talked about in terms of mix year to go, but also volume. And for us, depending on the market, but away from home can be 40% of our revenues. So, it’s a significantly important part of our business. So, we are really happy to see it coming back to growth. Thanks Lauren.
Operator: Thank you. And I would now like to hand the conference back over to Damian Gammell for his closing remarks. Damian, please go ahead.
Damian Gammell: Thank you, operator. And again a big thank you to everybody for joining us on what we know is a busy day. And so as Ed and I have kind of talked to, we are pleased with our performance year-to-date. And it’s broadly as expected, particularly as we take into account the April performance as we move through to Q2. That gives us the confidence to be reaffirming our full year guidance, both in terms of revenue, profit and free cash flow. And as you would expect, we are very busy at the moment finalizing our investor event in Manila. There, we will get a great opportunity to update you on our CCEP journey, spend a bit more time with you around our great business in the Philippines, talk to you about our progress in Indonesia and give you a really good flavor of how we are thinking of the next period of CCEP’s growth. So, for those of you who are traveling, I look forward to seeing you there. And for everybody else, we look forward and hope that you can connect. So until then, thank you and thanks again for joining.